Operator: Greetings and welcome to CVR Energy's Second Quarter Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recoded. It is now my pleasure to introduce your host, Stirling Pack, Vice President of Investor Relations for CVR Energy. Thank you. You may begin.
Stirling Pack: Thank you, Joe. And welcome everyone to our call this morning. We know it's a very busy day and we appreciate your being here to share this information with us. With me this morning are Jack Lipinski, our Chief Executive Officer; Stan Riemann, our Chief Operating Officer; and Ed Morgan, our Chief Financial Officer, as well as some other staff members who are here this morning as well. But these will be the primary participants in the call today. Now, before we begin, I need to read our Safe Harbor statement, so I'll do so. Prior to the discussion of our 2009 second quarter result, we are required to make the following Safe Harbor statement. In accordance with Federal Securities Laws, the statements in this earnings call relating to matters that are not historical facts, are forward-looking statements based on management's belief and assumptions using currently available information and expectations as of this date, and are not guarantees of future performance and do involve certain risks and uncertainties including those noted in our filings with the Securities and Exchange Commission. This presentation includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures including a reconciliation to the most directly comparable GAAP financial measures are included in our second quarter 2009 earnings release, which we filed yesterday. Now, it's my pleasure to introduce Jack Lipinski, our Chief Executive Officer. Jack?
John Lipinski: Well, good morning. Thank you for joining for us for our second quarter 2009 earnings conference call. I'll start by reviewing our quarterly operating results by segments and also provide a snapshot on how we see our business shaping up in the third quarter. Ed Morgan, our new CFO, joined us for the first time this morning. And we wish to publicly welcome to CVR. We already recognize and appreciate his contributions for the company. Ed will follow my remarks with a review of our quarterly financial results. Let me begin with Petroleum business. In the current refining environment, the company needs operating flexibility to to take advantage of continually changing markets. At CVR, our focus is on safety and operational excellence. The flexibility of our expanded refinery allows us to take advantage of opportunities as they present themselves. Second quarter petroleum operating results reflected positively on our efforts to maximize profits in a difficult environment. Factors that influenced this quarter includes selection of crudes and product mix, operating rates, cost control, maintaining operating efficiency and meeting our overarching goal of doing this all safely. Crude throughputs for the second quarter averaged 111,600 barrels a day; as compared to 104,600 barrels in the second quarter of '08. Economic favors running lighter, sweeter domestic grades and lower, foreign or heavier grades. As a result, sweet crudes as a percentage of our overall fleet averaged about 71%; compared with 65% in the second quarter of 2008. The sweet-sour and heavy-sour differential, which directly effects our crude discounts remain tight during the second quarter. The impact of these narrow crude oil differentials was offset in part by the ongoing contango in the crude oil market. Also we had a favorable consumed crude differential compared to NYMEX (NYSE:WTI). The differential was $6.38 per barrel, which included a favorable FIFO impact of $2.59 per barrel. In the second quarter of 2008, our consumed crude differential was $4.46 per barrel, which included a favorable FIFO impact of $2.59. During the second quarter, we processed about 12,100 barrels a day of feedstock and blend stock, bringing our total throughput to 123,700 barrels per day. This was an increase of 9,800 barrels a day as compared to the second quarter of 2008. Although, we have the capacity to run at higher levels, we operate to maximize profit. Crude throughput is just one factor in maximizing profit. We have the ability to shift between gasoline and diesel production in an amount equal to about 6% of our total throughput. As economic shifted to favor gasoline, our reformer operation was adjusted, allowing us to increase blending of low cost gasoline components and we changed product cut-points throughout the refinery. As a result, we realized a pronounced increase in gasoline output. This is just one example of the way we maximize profits. Total refinery production, including all other products of the second quarter, averaged 123,900 barrels per day versus 115,100 per day in '08. Of this, 51% was gasoline and 39% was distillate; as compared to 45% and 42% respectively for the second quarter in 2008. This quarter saw the commissioning of the compression system that allows us to export hydrogen to our adjacent fertilizer plant. We can now supplement hydrogen produced via gas farm and increase ammonium production. Most often we speak about our refinery and fertilizer businesses, but we've substantially grown our rack marketing and crude gathering operations. We've increased our rack marketing from two locations in 2005 to 28 at the present time, including seven locations added in the first half of 2009. We're very selective of where we've rack market. Our goal is not only to provide outlets for the refinery production, but to sell these by rather enhanced margins. Our total crude oil storage exceeds 4 million barrels. Of this, we leased 2.7 million barrels of Cushing, Oklahoma. This provides a platform on which we can purchase attractively priced crudes from numerous sources, and also benefit from the contango markets. Our mid-continent crude gathering system provides us with the base level of crudes that have characteristics similar to WTI and it's delivered at an attractive price. During the quarter, we gathered about 28,000 barrels per day. By comparison in the second quarter of 2008, we averaged 21,900 barrels per day. Our system has currently configured as over 30,000 barrels per day capacity. And we intend to further expand this business. Our rack marketing and crude gathering systems together allows us to improve our margins and contribute significantly to our overall success. The current NYMEX WTI forward curve shows contango extending out almost indefinitely. As we stated in our last call, we expect this condition to moderate when the world economy returns to positive growth. In the near-term, we also expect sweet-sour and heavy-sour differentials to remain compressed. Currently, the front month contango has widened to just over $2 a barrel. For comparison in the second quarter, WTI Contango averaged $1.25 per barrel. Conversely, the crude market was backward aided by $0.11 a barrel in the second quarter of 2008. Our cash flow swap reduced from 5.9 million barrels a quarter to 1.5 million barrels a quarter on the last day of June. This lower swap level rolls off completely at the end of June, 2010. We have also reduced the notional amount of a funded letter of a credit on the remaining volumes supporting the swap obligations; from 150 million to $60 million. We also recently extended our crude oil intermediation agreement with Vitol Inc. through year-end 2011. This relationship has proved to be mutually beneficial, and we look forward to a long business association with Vitol. On Tuesday, we restarted our cat cracker, which was down for approximately 12 days due to an unanticipated outage. While we would prefer not having this outage, we used it to our advantage to affect a number of repairs and modifications in other units that will increase our near-term efficiency. Based on what we now see, we expect to average about a 100 to 105,000 barrels per day of crude for the third quarter. While the economic down turn has reduced demand for refined products, Group 3 prices still remain favorable relative to other areas such as the U.S. Gulf Coast. Let me now talk about fertilizer. As I stated in our last conference call, the nitrogen fertilizer industry went through an unprecedented pricing cycle in 2008 and product realizations for all fertilizers are down this year versus last. Operationally, our fertilizer plant had an excellent second quarter. Our on-stream rates for our gasification unit was 91.7%, and 89.5% for ammonia synthesis group. On-stream time for UAN was 87.4%. These on-steam rates were up approximately 10 percentage points from 2008 on all units. On-stream rates per units in the second quarter of '09 were impacted by a seven day maintenance outage, and the third-party air separation plant, which supplies our facility. May was a record month for ammonia and UAN production. And parenthetically, without the air separation outage, we would have improved our reported on-stream stat by over 7%. Ammonia gross production for the second quarter was 103,300 tons with UAN production at 156,100 tons. Comparable production for the second quarter of 2008 was 79,500 tons of ammonia and 139,100 tons of UAN. Ammonia available for sale after UAN production was 38,900 tons versus 22,200 tons in the second quarter of '08. Ammonia production related to hydrogen supplied from our refinery amounted to approximately 3,400 tons in the quarter. Recent hydrogen transfers have been equivalent to approximately 100 tons per day of ammonia. There will always be some variability in the hydrogen rates to the fertilizer plants, as the refinery optimizes its requirements for hydrogen before shipping any excess. Sales of ammonia were 24,700 tons, while sales of UAN were 161,800 tons during the second quarter of '09 versus 19,100 tons of ammonia and 138,600 tons in '08. Realized prices for ammonium were $351 per ton and realized prices for UAN were $249 per ton. Comparable prices per ton for the second quarter of '08 were $528 per ton for ammonia and $303 per ton for UAN. As I noticed, nitrogen fertilizer prices are down substantially year-over-year. Blue Johnson & Associates recently forecasted third quarter prices of Southern Plains ammonia at $255 per ton, and Mid Cornbelt UAN at 180 per ton. This current spot price forecast less transportations generally reflects our pancake prices. Our current order book volume is slightly over our five year average. We're in a position to benefit from fall of 2009 higher selling prices, which we are announcing, without pressure to liquidate inventory due to containment issues. The USDA has estimated that 87 million acres of corn were planted in the 2009 season; up 1 million acres from 2008. This is the second largest planting in over 50 years. With this said, the agricultural sector has not been immune to the overall slowdown in both, the domestic and world economies. And in fact, fertilizer usage declined this year. And additional contributing factor in the U.S. was the extremely wet weather experience in the spring planting season. Corn is the largest U.S. agricultural crop in both volume and value, and is the major driver of nitrogen fertilizer prices. The biofuel mandate to ethanol production will remain an important component for future fertilizer demand as well. Given the growing world population and improving economic situations, we remain bullish. Now, I'd like to turn the call over Ed Morgan, who will discuss our financial results. Ed?
Edward Morgan: Thank you, Jack. It's a pleasure to be here this morning and participate in my first CVR earnings conference call. Before I discuss the quarterly results, I would like to take this time to thank the management team, our Board of Directors and others throughout the organization for helping make my transition so seamless. I'm excited about the opportunity we have in front of us here at CVR. As reported yesterday, CVR Energy's 2009 second quarter net income was 42.7 million, or $0.49 per diluted share; compared to 31 million or $0.36 per diluted share for the second quarter of 2008. As historically reported, there are three primary financial statement impacts that caused fluctuations in our financial performance from quarter-to-quarter. These impacts are unrealized gains or losses from our cash flow swap, inventory impact in first-in, first-out or FIFO accounting for inventory and share-based compensation expenses or reversals, which are non-cash items. The consolidation of these three impacts net of the tax impact is reported separately in our press release as adjusted net income. The adjusted net income for the second quarter of 2009 was 18.7 million or $0.22 per diluted share; compared to an adjusted net loss of 13.5 or $0.16 per basic share for the second quarter of 2008. To compare our adjusted net income to what was reported, please note the following. Our unrealized loss and the cash flow swap net of tax for the second quarter of 2009 is a $12 million loss compared to a $9.6 million loss in the second quarter of '08. Our share-based compensation expense net of tax is 4.6 million for the current quarter versus a reversal of non-cash share-based compensation expense of 9.6 million in Q2 '08. Share-based compensation, which is derived from evaluation method utilizing among other factors, CVR's current common stock price is a primary variable driver of our compensation expense from period-to-period. The impact of FIFO accounting was favorable in the amount of 40.6 million net of taxes for the second quarter versus a favorable 44.5 million net of taxes for the second quarter of last year. In aggregate, these tax affected impacts totaled $24 million, which reconciles reported and adjusted second quarter 2009 net income of 43.7 million and 18.7 million respectively. We're quite pleased with our second quarter operating performance. During this time of economic uncertainty, it's clear that the high level of our assets combined with our operational flexibility, should help us achieve a positive bottom line. Let me provide you with more detail at the segment level. In the Petroleum segment, adjusted operating income was 28.7 million for the second quarter of 2009 compared to 26.1 million for the second quarter of 2008; an increase of 2.6 million. The refining margin adjusted for the impact of FIFO is $8.96 per barrel in the second quarter of 2009 versus $10.45 per barrel for the comparable period in 2008. Several key factors to overall realized refining margins; these include the market contango, which was averaged to $25 per barrel during the second quarter, and the positive impact of our book and gathered crude purchases resulted in a crude differential savings of $4.16 per barrel to the quarterly averaged NYMEX WTI price of $59.79. When compared with our differential for the same quarter of 2008, our overall crude differential has improved by $2.35 per barrel of throughput. Refinery direct operating expenses exclusive of depreciation and amortization were 33 million or $3.25 per barrel of crude throughput for the current quarter; compared to 42.7 million or $4.49 per barrel for the same period in 2008. Compared to the same period last year, this improvement was directly attributable to the following: via decreases for energy and utility expenditures of approximately $3 million, a decreased in property tax expense of 1.2 million and a net overall decrease of outside service and other direct operating expenses of approximately 5.6 million. Controlling costs without sacrificing our safety will remain a priority for our organization. Moving to the Fertilizer segment; net sales for the quarter decreased to 55.3 million compared to 58.8 million to the comparable quarter of 2008. Operating income was 16.5 million for the second quarter of 2009, compared to 23.1 million for the second quarter of 2008. These results were directly correlated to higher sales volumes offset by lower sales prices for both ammonia and UAN. As Jack mentioned earlier in the second quarter of 2009, UAN prices were $54 per ton lower in the previous year. And Ammonia prices were lower by $177 per ton year-over-year. Although the market has been softer in 2009, our exceptional operating performance and on-stream time increases have resulted in higher production volumes. Direct operating expenses in our fertilizer operations for the quarter excluding depreciation and amortization were comparable to the prior year. Consolidated SG&A expense excluding depreciation and amortization and adjusted for our share-based compensation was 15.8 million compared to 23.7 million for the same quarter of 2008. It's noteworthy reasons for the difference, or that in the second quarter of 2008, we did record a $3.7 million bad debt reserve related to the SemGroup bankruptcy, and a write-off of 2.6 million in NOP operating cost and 1 million of miscellaneous assets. I'll now speak into details regards for our cash balances, our capital spending programs and our cash forecast for 2009. As of June 30, we had cash and cash equipments of $73.3 million. At the end of the quarter and currently, we have no amounts outstanding under our current revolving line up credit and 116 million of the aggregate availability. As of June 30, 2009, funded long-term debt including current maturity is sort of $481.9 million. Yet our net debt position of 412.7 million at the end of the quarter is an improvement of approximately 18% versus the same quarter last year. Today the company has the cash balance of $58 million and it continue to identifying opportunities to enhance our liquidity. With today's market contango, we currently are low on crude by approximately 670,000 barrels in that 45 million committed to the ... program. Other commitments we have today include approximately 4.1 million in capital leases and $16 million of funded letter of credit currently in place to secure our remaining day here cash flow swap obligations. At the end of the quarter, our mark-to-market liability under the swaps was only 1.8 million. The debt-to-equity ratio at the end of the second quarter was 42%, an improvement of approximately 10% over the same period in 2008. It's our intention to continue the process to deleverage the balance sheet, to manage capital prudently and define reductions and operating costs in response to the slow down in the economy. Our capital expenditures for the 2009 second quarter were 8.7 million, of which approximately 6.6 million was spent in the petroleum business and 2.1 million in our fertilizer business. The majority of our refinery capital spending in 2009 is directly attributable to our ongoing, low sulphur gasoline project, to which we have spent 7.1 million year-to-date. We anticipate spending another 17.4 million on this project in the remainder of 2009 and 20.2 million in 2010 to complete the project. We're on pace to finish construction and bring online; our low sulphur gas unit in the second quarter of 2010. Total anticipated capital spends for 2009 for the refinery is anticipated to be approximately $48 million. At our fertilizer facility, we anticipate spending predominantly discretionary capital of roughly $10 million for the remainder of 2009. Our total anticipated capital spend at fertilizer facility is approximately $20 million for 2009. We are also currently forecasting a total capital spend of approximately $20 million in 2010, which does include a schedule turnaround. On a consolidated basis, we now expect our 2009 capital spending to approximate $75 million; a decrease of over 20 million versus our original plan, while maintaining operational effeminacy and safety. Income tax expense for the quarter ended June 30, was 25.5 million or 37.4% of pre-tax income; as compared to 4.1 million or 11.6% of pre-tax income for the three months ended June 30 of 2008. The 2009 effective income tax rate is lower than the expected statutory rate of 39.7%; primarily due to federal income tax credits generated in 2009, related to the production of ultra low sulphur diesel fuel. The company during the first quarter of 2009, generated additional credits, which reached the maximum amount available to us. No further credits related to the production of ultra low sulphur diesel are expected to be generated. We are currently awaiting our certification for 2009 related to additional state income tax incentives available to us in the State of Kansas. Receipt of the certification part to the end of 2009 will improve our overall effective tax rate for the year. At this time, we have not currently forecasted the additional benefit. And now I'd like to turn the call back over to Jack for his concluding remarks.
John Lipinski: Okay. Thank you, Ed. CVR has reported very good -- we have reported very good financial and operating results for this quarter. We speak about our expanded facilities and how we benefit from the capital program that we started in 2005. But the bottom line is, without committed employees, we couldn't achieve these results. And I'd like to express my appreciation to all our employees for their outstanding efforts and working hard everyday to make CVR Energy successful. We intend to exploit opportunities as they arrive. We stay focused on safety and operational excellence. And we thank you all for joining us today. And, now I'll turn this back to Stirling, for any questions. Stirling?
Stirling Pack: Thank you, gentlemen. So, we are prepared then to receive questions following our prepared remarks. So if you please go ahead and queue then I would appreciate it.
Operator: Thank you. (Operator Instructions). Our first question is from Paul Sankey with Deutsche Bank Securities. Please go ahead with your question.
Paul Sankey: Yeah. Hi, guys. Can we talk a little bit about the widening contango and the inventory levels? You yourself say that you're running quite a lot of crude in storage? I was just wondering firstly, is the Mid Corn market beginning to fill up with products. Are we getting to the top of the tanks on the product side? And secondly, I guess we're clearly doing a similar thing at Cushing. How do you see that playing out? If we get to the top of the tanks, would you expect to see an even bigger blow out in contango, or just any observations you have on how these plays out, it would be interesting? Thanks.
John Lipinski: Well, Paul, as far as the contango goes, it has started to move out. When it started to compress a little, we reduced our carry program, actually carry program at the end of the quarter was about 325,000 barrels. And we've significantly increased that this contango has moved up to just basically we buy the crude, we sell it on the market. And all we're doing is start getting in the contango. It helps us reduce our overall crude cost. We're not seeing products go up in the market. I mean, the inventory levels in the Magellan system have been high. But they've been high for the last six months. And what we see happening is our basis is still better than the Gulf, but not so much better that you can -- people would flood our market with product. And being an undersupplied market where we fit, it is the incremental barrels that come in either from the Gulf of Mexico, refining centers or down from the Northern Tier refineries that feed our system. But we do not have a view that our system is filing up on product and as the system fills up on crude, perhaps Cheshire Cat grin is not the right things say but WTI becomes the most undervalued crude the world. Take a look at the brand WTI spread right now. It's enormous. And yet, the crack spreads are increasing at the same time because anybody that has to run a brand related barrel couldn’t run it, the cracks spreads were compressed. So, I don't know if I'm answering your question but
Paul Sankey: No. It's interesting. Thanks. And on the demand side, I mean, you have got this niche market that you're in. I guess the agricultural side might be helping you on this. I don't know that kind of a question. And gasoline cracks are widening as well I guess as well, we just suppose this demand plus low utilization?
John Lipinski: Right. And again, don't forget the incremental barrels coming into our system have to be imported into our shift. And as the economic don't drive it at that rate David they don't come up. There is an inherit cause to do that. So, people look at the spreads. And we really haven't seen. We're starting to see improvements across the board and at least our period-over-period gasoline continues to grow in small amount year-over-year. Just lid on the latest stats shows some improvement. Meaning, it's down as it was, prior to what it was before. And here in the next few weeks, we'll be seeing a week run and harvest. So, we will expect this, let demands pick up during that time.
Paul Sankey: Yeah. I got you. And finally, from the strategic ownership of the company is -- Can you update us on your best understanding of where the private equity holders now stand and all these. Thanks Jack.
John Lipinski: I can't speak for the private equity holders. All I would say is that we have had and have three sitting out there which would have allowed them to sell stock. The fact that they haven't I guess speaks to the fact that they still wants to own us. Actually that question should be directed to them, I’m getting in over my feet here.
Paul Sankey: Yeah but they will answer me although it turned tricky. Okay, I'll leave it, I'll leave it. Thanks.
John Lipinski: Thank you.
Operator: (Operator Instructions) Your next question is from Jeff Dietert with Simmons & Company. Please go ahead with your question.
Jeff Dietert: Good morning
Stirling Pack: Hey Jeff, how are you?
Jeff Dietert: I'm doing fine. Did I hear correctly that 2010 capital spending is expected to be 20 million in total?
John Lipinski: Jeff, that was just for the fertilizer business.
Jeff Dietert: Okay. I'm sorry, what was the total?
John Lipinski: I'll give that to Stan. Stan?
Stanley Riemann: We are in a -- Jeff, its Stan Riemann. We're in a process of -- we obviously have a 2010 capital budget. We were in a process to redo into the budgeting cycle. And my expectations is that the environmental build across all footprint budget will be in the 5 to 7 million range in sustaining capital across the whole footprint would be in the 15 to 17 range. And then on top of that you would have the projects that Jack had talked to you sulphur gasoline my expectations environmental sustaining probably in total across footprint 20-25 million, any profit of Group budgets will be able to absorb that we will get only -- do that we have appropriate cash flow.
Jeff Dietert: Good. Could you talk about how the fining season work through and what the outlook is for 3Q on fertilizer pricing?
Stanley Riemann: Obviously we are across the largest and I thought you saw some pretty good reduction in part issue and some load of reduction in Nitrogen. And being a commodity business, it doesn't take much to move the price up or down on the demand cycle.
Jeff Dietert: Did that turn out are being an advantage for you as you talked about previously?
John Lipinski: No, I think we kind of, oh all well that kind of spending with the same brush, I think when you get into the plant cycle. Overall, I think it bodes well for us forward but we do not have any issues on moving product. We're probably; if you look at a five year average we'll add obviously loan with broker price of 10% above our five year average. And we had seen prices move up nicely in the last 45 to 60 days and we expect them to continue to do that. We obviously always want a higher price, but I think we're at the bottom of our cycle and we've seen prices improve here.
Jeff Dietert: Very good. Thanks for your comments.
Operator: We have no further questions in queue and I'd like to turn the call back over to management for closing remark.
John Lipinski: Okay. Well, listen, thank you all for joining us today. I know it's a very busy day and lots of earnings calls and we appreciate your interest in the company and rest assured we're working hard. And try to maximize profits everyday so you can see it more results, well we strive to be flexible. And we aggressively pursue any opportunities that come up. So thank you. Stirling?
Stirling Pack: Thank you very much, Jack. Thank you Joe. That concludes our presentation, today's end. We shall be available for any additional question for the next couple of days as we proceed. So thank you again everyone for attending. And we'll look forward to speaking with you next quarter.
Operator: This concludes today's teleconference. You may disconnect your lines. Thank you for your participation.